Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to BBVA Argentina's First Quarter 2023 Fiscal Year Results Conference Call. We would like to inform you that this event is being recorded and all participants will be in listen only mode during the Company’s presentation. After the Company’s remarks are completed there will be a question-and-answer session. At that time, further instructions will be given .  First of all, let me point out that some of the statements made during this conference call may be forward-looking statements within the meaning of the safe harbor provisions found in Section 27A of the Securities Act of 1933 under US Federal Securities Law. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. Additional information concerning these factors is contained in BBVA Argentina's Annual Report on Form 20-F for the Fiscal Year 2022 filed with the US Securities and Exchange Commission. Today with us, we have Mrs. Carmen Morillo Arroyo, CFO; Ms. Inés Lanusse, IRO; and Ms. Belén Fourcade, Investor Relations.  Ms. Fourcade, you may now begin your conference.
Belén Fourcade: Good morning, and welcome to BBVA Argentina's first quarter 2023 fiscal year results conference call. Today's webinar will be supported by a slide presentation available on our Investor Relations Web site on the Financial Information section. Speaking during today's call will be Inés Lanusse, our Investor Relations Officer; and Carmen Morillo Arroyo, our Chief Financial Officer, who will be available for the Q&A session. Please note that starting January 1, 2020, as per Central Bank regulation, we have begun reporting results applying hyperinflation accounting pursuant to IFRS rule IAS 29. For ease of comparability, 2022 and 2023 figures have been restated to reflect the accumulated effect of inflation adjustment for each period through March 31, 2023. Now let me turn the call over to Inés.
Inés Lanusse: Thank you, Belén, and thank you all for joining us today. As we are all aware, in spite of a less favorable global context and a local environment characterized by a difficulty of correcting current macroeconomic distortion and of meeting the established objectives in the loan agreement reached in March of last year with an international monetary fund, economic activity has shown dynamism in 2022. GDP grew 5.2% in 2022 and would fall 2.5% in 2023, according to BBVA research. Nonetheless, the global context, high local inflation, financial volatility, the limited leeway to adopt new stimulus measures and uncertainty about economic policy in a presidential election year legitimate expectations of a contraction of GDP in 2023. Referring to BBVA's Argentina performance, a better operating income as of March 2023 was a product of an improvement in interest income boosted by the loan portfolio. BBVA Argentina has a corporate responsibility with society, inherent to the bank's business model, which bolsters inclusion, financial education and support scientific research and culture. The bank works with the highest integrity, long term vision and best practices and is present through the BBVA Group in the main sustainability indexes. Moving into business dynamics. As you can see on Slide 3 of our webcast presentation, our service offering has evolved in such a way that by the end of March 2023 retail digital client penetration reached 62%, remaining stable from a year back, while that of retail mobile clients reached 56% from 54% as of the same period of last year. The response on the side of customers has been satisfactory and we are convinced this is a path to pursue in the aim of sustaining and expanding our competitive position in the financial system. Retail digital sales have increased from 82.7% in the first quarter of 2022 to 92.5% of units and represents 69.2% of the bank's total sales measured in monetary values versus 53.6% in the first quarter of 2022. New customer acquisitions to the digital channels reached 72% in the first quarter of 2023 from 69% in the first quarter of 2022. The bank actively monitors its business, financial conditions and operating results in the aim of keeping a competitive decision to  contextual challenges. Moving to Slide 4. I will now comment on the bank's first quarter 2023 financial results. BBVA Argentina first quarter 2023, net income was ARS15 billion, decreasing 27.8% quarter-over-quarter. This implied a quarterly ROE of 13.7% and a quarterly ROA of 2.6%. Operating income in the first quarter of 2023 was ARS78.8 billion, 4.9% above ARS75.1 billion recorded in the fourth quarter of 2022. Quarterly operating results are mainly explained by greater interest income driven by; one, better interest income result of a product of higher monetary policy rate compared to the previous quarter, which allows a higher average interest rate; and two, a decline in other operating expenses. This effect was partially offset by an increase in; one, net fee income; and two, an increase in administrative expenses. Net income for the period was highly impacted by income from net monetary position as inflation increased from 17.3% in the fourth quarter of 2022 to 21.7% in the first quarter of 2023. Turning into the P&L lines in Slide 5 and 6, net interest income for the first quarter of 2023 was ARS131.2 billion, increasing 1.6% quarter-over-quarter. In the first quarter of 2023, interest income in monetary and percentage terms increased more than interest expenses mainly due to; one, increase in income from interest on loans, in particular, overdraft, discounted instruments and credit cards; and two, increase in income from repo. The items mentioned takes place in a context of increasing interest rates of products derived from an increase in the monetary policy rate by the Central Bank during the previous and current quarter. In the first quarter of 2023, interest income totaled ARS249.2 billion, increasing 1.5% compared to the fourth quarter of 2022. Quarterly increase is mainly driven by; one, an increase in interest from loan, mainly overdraft, discounted instruments and credit cards especially due to the ; and two, an increase in repo premises. Interest expenses totaled ARS118 million, denoting of 1.4% increase quarter-over-quarter and a 93.9% increase year-over-year. Quarterly increase is described by higher time deposit expenses offset by a fall in CER/UVA adjustment expenses connected to CER linked time deposits. Interest from time deposits, including investment accounts, explain 82.8% of interest expenses versus 79.9% in the previous quarter. Net fee income as of the first quarter of 2023 totaled ARS11.3 billion, decreasing 8.5% quarter-over-quarter. In the fourth quarter of 2023, fee income totaled ARS22 billion, falling 8.7% quarter-over-quarter. The quarter decrease is mainly explained by; one, a 12.7% fall in fees from credit cards, considering that this line includes Puntos PDA program negative effect; and two, fees linked to liabilities. Regarding fee expenses, this totaled ARS10.7 billion, falling 9% quarter-over-quarter. Lower expenses in the quarter are partially explained by increased expenditures at year end linked to commercial promotion and acquisition costs. In the first quarter of 2023, loan loss allowance decreased 8.6% due to the good performance of our portfolio. During the first quarter of 2023 total operating expenses were ARS69.1 billion, decreasing 1.2% quarter-over-quarter, of which 32% were personnel benefit costs remaining stable versus the first quarter of 2022. Personnel benefits decreased 1.2% quarter-over-quarter. The quarterly decrease is partially explained by the decline in severance payments. This is offset by the effect of a collective agreement on wages with the  for 2023 and the additional for 2022. As of the first quarter of 2023, administrative expenses increased 13.2% quarter-over-quarter. The quarterly increase is partially explained by; one, outsourced administrative expenses; two, greater rent expenses related to software and licenses contracted with the parent company; three, increase in software services; and four, greater advertising expenses. The quarterly efficiency ratio as of the first quarter of 2023 was 62.4%, deteriorating compared to the 53% reported in the fourth quarter of 2022 and improving versus the 72.2% reported in the first quarter of 2022. The quarterly deterioration is explained by a higher increase in expenses and income, especially due to a significant increase in the negative quarterly results from the net monetary decision. The accumulated efficiency ratio as of the first quarter of 2023 was 62.4%, improving compared to the 64% reported in the fourth quarter of 2022 versus the 72.2% reported in the first quarter of 2022. In terms of activity on Slide 7, private sector loans as of the first quarter of 2023 totaled ARS75.3 billion, decreasing 2% quarter-over-quarter and increasing 3.7% year-over-year. Loans to the private sector in pesos fell 1.6% in the first quarter of 2023. During the quarter, the decrease was especially driven by a 24.5% decrease in other loans, especially corporate and commercial loans, followed by a 4.3% fall in credit cards. The later are explained by contracts versus the fourth quarter of 2022 seasonal effects. The fall was offset by a 40.5% increase in overdraft. Loans to the private sector denominated in foreign currency decreased 8.6% quarter-over-quarter. Quarterly decrease is mainly explained by a 50.2% reduction in other loans and partially offset by a 7% increase in financing and refinancing of . Loans to the private sector in foreign currency measured in US dollars fell 5.7% quarter-over-quarter and increased 5.4% year-over-year. During the quarter, both the retail and commercial portfolio selling real terms. Loan portfolio  highly impacted by the effect of inflation during the first quarter of 2023, which reached 21.7%. In nominal terms, BBVA Argentina managed to increase the total loan portfolio by 19.3% during the quarter. BBVA Argentina’s consolidated market share of private sector loans reached 9.33% as of the first quarter of 2023, improving from 7.89% a year ago. In the first quarter of 2023, asset quality ratio was 1.31% compared to the 1.13% recorded in the fourth quarter of 2022. The slight increase is mainly explained by an increase in the retail non-performing loans. On the funding side, as seen on Slide 8, private nonfinancial sector deposits in the first quarter of 2023 totaled ARS1.6 trillion, slightly falling 2.2% quarter-over-quarter. The bank's consolidated market share of private deposits reached 6.83% as of the first quarter of 2023. Private nonfinancial sector deposits in pesos decreased 1.1% compared to the fourth quarter of 2022. The quarterly change is mainly affected by a 14.8% decrease in  deposits, offset by an increase in time deposits of 6%. Private nonfinancial sector deposits in foreign currency expressed in pesos fell 4.2% quarter-over-quarter. In terms of capitalization, BBVA Argentina continues to show strong solvency indicators as of the first quarter of 2023. Capital ratio reached 27.9%. Exposure to the public sector in the first quarter of 2023, excluding Central Bank instruments, represented 9.1% of total assets slightly below the 10.1% in the fourth quarter of 2022 and way below the 17% reported by the system as of March 2023. It is worth mentioning that the shareholders' meeting held on April 28, 2023 approved authorization request to the Central Bank for the distribution of ARS50.4 billion, ARS 35.6 billion of which were declared and approved by such meetings and are added to the ARS14.8 billion spending distribution. The bank's total liquidity ratio remained healthy at 78.7% of total deposits as of March 31, 2023. This concludes our prepared remarks. We will now take your questions. Operator, please open the line for questions.
Operator:
Inés Lanusse: Okay. Thank you for your time, and let us know if you have further questions. Have a good day. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.